Operator: Good day, and welcome to the Q3 2013 Frontline Ltd. Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jens Martin Jensen. Please go ahead, sir.
Jens Martin Jensen: Thank you. Good morning, good afternoon, and welcome to our Q3 presentation. We will follow our usual program for the presentation with Inger going through the Q3 highlights and main transactions, financial review of the quarter. And after that, I will follow up with some added comments and some comments of the present market and situation as we see it. Inger, if you could start, please?
Inger M. Klemp: Thank you. And good morning, and good afternoon, ladies and gentlemen. Moving down to Slide 4, Highlights and Transactions. Frontline has recorded a vessel impairment loss in the third quarter of $22.4 million relating to the 2 vessels, Front Champion and Golden Victory, which has been leased in from Ship Finance, compared with an impairment loss of $81.3 million in the second quarter. Frontline issued 329,532 new shares in the third quarter under the ATM offering launched in June, 2013. In October 2013, Frontline entered into a private agreement to exchange $25 million of the company's 4.5% convertible bond loans for an aggregate of approximately 6.5 million shares and a cash payment of $2.25 million. In October 2013, Frontline agreed with Ship Finance to terminate the long-term charter parties for the 1998 and 1999-built VLCCs, Front Champion and Golden Victory. And Ship Finance, in return, has resold the vessels to unrelated third parties. Moving down to Slide 5, Financial Highlights; and Slide 6, Income Statement. Frontline reports a net loss of $36.4 million, equivalent to loss per share of $0.46 in the third quarter of 2013 compared with a loss of $120 million and a loss per share of $1.54 for the preceding quarter. The net loss attributable to the company in the third quarter includes an impairment loss of $22.4 million relating to the 2 vessels, Front Champion and Golden Victory, leased from Ship Finance. Net loss excluding impairment loss in the third quarter was $14 million compared with $39 million in the second quarter. The improved result, excluding impairment loss in the third quarter compared to the second quarter, is mainly due to higher TCE rates in the third quarter compared to the second quarter; decrease in ship operating expenses of almost $6 million, mainly due to the decrease in drydocking cost; contingent rental income of $8.9 million booked in the third quarter from early June to the release of an accrual and decrease in depreciation due to the impairment write-off. Moving down to Slide 7, Income on time charter basis. Frontline's double-hull VLCC fleet earned $13,900 per day in the third quarter compared with $11,200 per day in the second quarter. The average for the whole VLCC fleet was about $16,100 per day in the third quarter compared with $14,100 per day in the second quarter. The Suezmax fleet earned $12,400 per day in the third quarter compared with $13,800 per day in the second quarter. Moving down to Slide 8, Ship operating expenses and Off-hire. The average OpEx for the fleet in the second quarter was approximately $10,000 per day compared to approximately $12,500 per day in the second quarter. We drydocked 2 vessels in the third quarter compared with 4 vessels in the second quarter, as you can see from the graph on the upper right-hand side of the slide. And as you can see from the graph on the lower right-hand side of the slide, off-hire days were 124 in the third quarter compared with 208 days in the second quarter as a consequence of this drydocking. We have not scheduled any drydockings in the fourth quarter of 2013. Moving down to Slide 9, Balance Sheet. The total balance sheet, end September, is approximately $60 million less than end June. This is mainly explained by docked vessels and equipment and vessels under capital lease, decreased by $46 million, of which $22.4 million relates to impairment charge and $23.9 million is the quarterly depreciation. In addition, restricted cash decreased by $16.6 million, due to bi-annual loan and interest payment in ITCL. Otherwise, there were small changes to other balance sheet items this quarter. Molding to Slide 10, Cash Cost Breakeven. The estimated average cash cost breakeven rate for the remainder of 2013 are approximately $22,400 per day for VLCCs and $16,700 per day for the Suezmaxes. These rates are the daily rates our vessels must earn to cover budgeted operating costs, estimated interest expense, payable to hire and corporate overhead costs. And these rates do not include CapEx and ITCL vessels. Moving down to Slide 11, Newbuilding Overview. As of September 30, Frontline's newbuilding program comprised 2 Suezmax tankers, and the company was committed to make newbuilding installments of $87.9 million. We expect payments of $6.2 million in 2013 and $81.7 million in 2014. Moving down to Slide 12, the Frontline fleet. The number of vessels currently in the Frontline fleet is 46 vessels, including the vessels on commercial management and ITCL vessels. And it's compounded by 30 double-hull VLCCs and 16 double hull Suezmaxes. And with this, I leave it over to Jens again.
Jens Martin Jensen: Thank you, Inger. We are now at Slide 13, markets. Despite increased crude demand and ton-mile scenario, the VLCC markets mid-through the third quarter really hit the bottom. Also severely hurt was the Suezmax markets, which hit close to 0 earnings. This is mainly explained by the lack of cargoes from Libya and West Africa. The third quarter ended on a low with an over tonnage situation and owner's sentiment at depressed levels. I will comment later in the presentation of the market today. And seemingly, the owner's changed the sentiment mood. Scrapping of VLCCs almost held up with newbuilding deliveries. Slide 14, VLCC Fleet. As I mentioned before, we ended last year with a large number of VLCCs to be delivered. However, these newbuilding orders has again raised questions on the fleet balance going forward. Slide 15, the Suezmax Fleet. Also in the Suezmax segment, we ended last year of a huge order book. I guess it's only a matter of time before we see Suezmaxes being ordered again. This is not really what the market needs right now. Going to Slide 16, newbuilding prices and time charter rates. Newbuilding prices are increasing, and recent orders of VLCC have yet a price in the region of USD 93 million. We estimate newbuilding prices for Suezmax tankers to be in the USD 55 million to USD 60 million, possibly closer to the USD 60 million mark. Lease and time charter activities for VLCC, short term, is in the region of $23,000 a day, which is a bit up and around $16,000 for Suezmax tankers. Now we're at Slide 17, Outlook. We have seen quite an increase in the activity from the Caribbean and the Atlantic basin, covering both from West Africa and the North Sea continent to the Asian destinations. And this has pushed up the ton mileage situation and spread the fleet out, which is causing the present rate spike. Rates are firm and high for VLCCs, not really seen since 2010. But so far, Suezmax's earnings and Aframaxes' for that matter, are lagging behind. Owner sentiment has changed: from being in the mood to not to attend any Christmas parties, to now making positive plans, to attending all. VLCC orderings has started again, and this will surely lead to a stop of scrapping of tonnage, and the overhang imbalance could be sustained going forward. Although the ballast speeds are being -- increasing, which is really a pity. About Frontline ourself, we are now down to our core fleet, having sold and terminated, the oldest units, and the units which have upcoming expensive drydockings. We have limited drydockings coming in 2014, and our spot exposure could be a pleasant market surprise. We will continue to look for opportunities to improve the company's financial situation and balance sheet with these operating markets related. I think with that, now, we are ready for your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Omar Nokta from Global Hunter Securities.
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: I just wanted to ask a couple of questions regarding the overall balance sheet. I know in the release, you discussed the restricted cash balance at ITC being about $57 million of the $59 million. I just also wanted to clarify what that entails for the actual consolidated cash position. You reported $79 million. How much of that is actually at ITC?
Inger M. Klemp: Was that restricted cash, you mean?
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: No, just the unrestricted cash.
Inger M. Klemp: The unrestricted cash is primarily Frontline. It's only a couple of million, which is sad to say, in a way.
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: So basically the $79 million, nearly all of that is at Frontline?
Inger M. Klemp: That's free cash in Frontline Ltd. here, yes.
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: And then just for clarity on my end, we saw the drawdown of restricted cash at ITC. Was that used to pay down debt at that company level?
Inger M. Klemp: You mean the $16.6 million I referred to?
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: Yes.
Inger M. Klemp: That's the ordinary bi-annual repayments of the loan, nothing more than that.
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: And then also just wanted to check in. We've seen with -- you've obviously sold out the VLCC newbuilding contracts to Frontline 2012, and they've been rather successful in getting the refunds back on the deposits made. I'm just wondering is there anything within the contracts between both companies where Frontline would be entitled to any of those repayments?
Jens Martin Jensen: No. Of course, this transaction we referred to happened almost 2 years ago. And no ships were sold at that time at market levels. So it's not. There's no further relations in there.
Omar M. Nokta - Global Hunter Securities, LLC, Research Division: Okay. And then just finally, the 2 Suezmaxes currently on order have obviously been going through delays. When you've referenced the $7 million or so due in Q4, with $81 million or so due next year, has that $7 million been paid yet?
Jens Martin Jensen: Not yet, not yet.
Operator: Our next question comes from Jon Chappell from Evercore.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: My first question is, there was -- the slide with the time charter coverage that you've had in the last several presentations wasn't in this presentation. For the second quarter at least, there was just 5% of the VLCC fleet. So out of 20 ships, I guess there was 1 vessel on a $40,000-a-day contract. Should we read into the fact that, that slide's not in the presentation anymore, that everything's spot now, that contract no longer exists?
Jens Martin Jensen: It's well spotted, thank you. It is still the same. We only have 1 VLCC in time charter who hit the spot. So there's no change to that.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. And that's still the $40,000 -- I think it was $40,400?
Jens Martin Jensen: That's correct.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: All right, good. Another question about the model -- 2 more, actually. One, the associated companies, income for associated companies, $6.1 million was up pretty significantly. I know Frontline 2012's in there and probably ITC as well. But just given your small stake in Frontline 2012, it would have had to have been a massive number. Is there anything else in the associated companies line that drove such a large sequential increase in net income?
Inger M. Klemp: No. That's a -- as you know, Frontline 2012 had a -- did a privatization in September of it. And so Frontline then had to record a dilution gain on that private base, because it was still not higher levels than it was recorded at originally, in a way, if you see what I mean. So it's effectively accounted for.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. So it wasn't just based on your net income, there was a large gain associated with that?
Inger M. Klemp: No, no, no.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay, understood. And then also on the cash leap, it seems like a pretty large reversal of the accrual in this quarter. And also, if we look back to the third quarter 2012, it looks like you restated that with a pretty large reversal as well. Should we expect that going forward or all the reversals based are done with now?
Inger M. Klemp: I don't think we have had any major reversals before. So I'm not sure what you are referring to there.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Well, in the past, it was a large negative. It's an expense. So for example, if we go back to your third quarter 2012 press release, it was minus $18.8 million. But if I look in your -- this current press release, third quarter now says it was a positive adjustment of $7 million. And then for the third quarter of 2013, it also says positive $8.9 million.
Inger M. Klemp: Well, I'm not sure I can comment on this from 2012. Because I don't really recall that we have had any negative reversals before. But nonetheless, this one's from 2013. This quarter is related to that. We actually had booked a higher cost than which is necessary as of the end of the 30th of September. So we released that one. So that's the reason behind that.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. And as we sit 2 quarters -- or 2 months into the fourth quarter, is there going to be another release in the fourth quarter, do you think? Or with this current strengthening of the market...
Inger M. Klemp: No, we don't expect that.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. And then finally, Jens, for you. You mentioned the market getting a little bit better. Sentiment, obviously, trying to dissuade more orders, which I completely understand. Does this kind of change your view on being a market leader, as far as scrapping's concerned? You said you're at your core fleet right now, but you do have some vessels that were built in the early part of the 2000s. Do you want to continue to lead the market in scrapping? or are you kind of set with the fleet that you have today?
Jens Martin Jensen: I think this is the fleet we have today. We're quite happy with, of course. As each ship approach the drydock, I guess, everybody is looking at that scenario. But then, I think for now, we are trying to lead the way and remove trading ships. And then obviously, I hope other owners would follow that example.
Operator: Our next question comes from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Most of the modeling questions have already been touched on, but there are a couple of high-level questions that I want to hit. Jens, you mentioned that the seasonal bump in V rates, and it's been certainly more significant this year than in past years, and it may slow a bit around Thanksgiving. But you also mentioned that Suezmaxes and Afras, for that matter, are lagging quite a bit. As you think about that strength running through December and potentially into Q1, a, how likely do think that is? And at what point do we start to see some of those cargoes getting split by Suezmaxes?
Jens Martin Jensen: Of course, you can say it's a bit of a strange market, having gone from $10,000 to sort of around $45,000, $50,000 a day. And what I've tried to explain to a few people that once, that when you're listening to me is, I think the market has been much more tight during the year. Of course, it sounds strange when we've only been making around $16,000 for the first 9 months. But I think the market has been tight. And now, of course, we have seen the fleet being spread out and we have seen a lot more increase in ton mileage. So I think if everybody is disciplined and then they try holding back a little bit, I think this market could be hanging around for some time. I'm not saying, of course, it will remain like this, but I think the market is quite tight.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Okay. Now that's interesting. And then just to kind of piggyback on John's question around scrapping, I mean, you guys scrapped a 15-year old asset recently and there seems to be a pretty big bifurcation around those scrapping and those kind of coming in and entering the market via newbuilds. When you think about the economics of scrapping a 15-year-old vessel or something potentially even younger, is there just a disconnect in terms of market expectations in years 3 and 4 and 5 kind of forward from here? Or is just that the near-projected cash burn on that 15-year-old asset just too high. I'm just trying to kind of delve into the differences of thought process between those kind of coming in and ordering newbuilds and those kind of scrapping 15-year-old assets, which in years -- 3 or 4 years from now might actually have some incremental auction value.
Jens Martin Jensen: I think the scrapping of the ships or the removal of the ships have had a positive effect on the market, the feedback we are getting. So I think if more people are actually doing this, this will help the market and it will probably sustain the market a little bit. So I think we all have to chip in here and try and keep this market at a decent level.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Okay. Fair enough. Just one more and I'll turn it over. Obviously, you guys prepaid some of the convert, about $25 million worth. Just your thought process on a timetable for looking to refi the rest. But obviously, you have some time. I believe 2015 is the maturity date. But just your thought process in addressing the remainder of the convert.
Inger M. Klemp: Our thought process would expect to do more assets, were you asking?
Michael Webber - Wells Fargo Securities, LLC, Research Division: Yes.
Inger M. Klemp: Okay. Well, I don't think we would like to share our results on that, to be honest.
Operator: Our next question comes from Herman Hildan from RS Platou Markets.
Herman Hildan - RS Platou Markets AS, Research Division: Just a quick question on, again, on the decision to scrap the VLCCs. Was that done prior to the rally that we've seen in rates?
Jens Martin Jensen: I think they have been discussing about removing trading ships from all fleets. In at least the last presentation for this, this is a process we have prepared ourselves to do, and the ships were removed when the drydocking came up, and that was the decision we have taken some time back. So no, we are not influenced by the daily market.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. Would you kind of say that the decision to scrap the vessel was more based on a signal to other owners to buy scrapping rather than, call it, looking at those 2 assets as a single asset transaction -- subtransaction?
Jens Martin Jensen: As I mentioned before, I think we all have to chip in to do something for this market here. The only one who can save this industry is ourselves.
Herman Hildan - RS Platou Markets AS, Research Division: Yes, good. I mean, with the current spot market, it seems quite unlikely that people are willing to scrap all the tonnage, particularly -- I mean, if you look at the 15-year-old vessel, isn't that kind of -- the asset values on those have been depreciated mostly through scrap, and I guess that makes it also the assets for the highest upside if you're right about the market remaining strong in the coming years.
Jens Martin Jensen: I'm sure that the scrapping will stop, which is a pity. I think we had a good run. Our VLCCs, we had a balanced delivery, scrapping in the third quarter. That's, of course, a negative effect with -- the margin is creating for this. So -- but I hope and believe that scrapping would pick up again.
Herman Hildan - RS Platou Markets AS, Research Division: And my second question is on -- I mean, there's been a lot of, call it, the in-ship base [ph] ordering. A new tonnage with delivery in, say, 2016, according to, I guess, TradeWinds. Is it likely that or is it -- have you been kind of discussing with yards? And do you think you'll be in a position where you'll order newbuilds in the coming months?
Jens Martin Jensen: I think that's friendly ships on the water, if you look at it instead. So I think there's probably enough VLCCs right now.
Herman Hildan - RS Platou Markets AS, Research Division: So you're not going to order newbuilds?
Jens Martin Jensen: I don't think we would say never say never. But then, I don't think we'll necessarily do it now.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. And last question is on the Suezmaxes. I mean, at what point in time are you going to cancel? And if the, call it, progress on the construction doesn't continue?
Jens Martin Jensen: Well, I would say that the building progress at the yard is a bit slow. So that's a part of discussion we are having with the yard. And I can't really comment more on that but -- than the progress is slow, I can say that.
Operator: Our next question comes from David Beard from Iberia.
David E. Beard - Iberia Capital Partners, Research Division: Could you just maybe elaborate a little bit on the sequential decline in Frontline's cash breakeven rates? And could we expect those levels to be maintained going forward? And then just a macro question to hear your thoughts on the differences between Suez and VLCCs and why there's been such a persistent gap between the 2 classes of ships in terms of rates.
Inger M. Klemp: Okay. So with respect to the cash breakeven rates, we always inform about those going forward in a way. The remainder of the year and last quarter, we were looking at expensive drydockings coming up in the end of the year, which meant that, that the breakeven rates was much higher than this quarter, where we don't anticipate having drydockings in the fourth quarter. So that's the reason behind that. Also going forward, as Jens said earlier on this call, we have limited drydockings in 2014. But obviously, those will be taken in to the cash breakeven rates when we calculate them going forward.
Jens Martin Jensen: And regarding your second question, the disconnect between the VLCC and Suezmax markets. Of course, the Suezmax market, as a trade, has dramatically changed. The main driver in that market was, of course, the West Africa-U.S. trade, which has basically dried up but has appeared because of the domestic increase of oil production in America. So the Suezmax market is much more East-West, West-East, which is kind of competing with the VLCCs. So the main disconnect in those markets is simply that the main Suezmax trade has disappeared.
Operator: Our next question comes from Urs Dür from Clarkson Capital Markets.
Urs M. Dür - Clarkson Capital Markets, Research Division: I really wanted to ask about what you thought of the VLCC orders, and you have really commented on that. One thing you touched upon in the presentation or just highlighted possibly verbally is the encouraging signs on ton-mile demand for larger ships. And we're seeing some encouraging signs, say, from the Atlantic Basin to Asia. How do you view possible expansion of ton mile demand, say, in 2015 and '16? Or do you have any view on the out years on that outlook? Because that's a bit more bullish than what we've been seeing on the last few years.
Jens Martin Jensen: I guess, everything is pushed forward. I remember this discussion we had 2 years ago, then we said '13, '14. Now it's '15, '16. Probably next year, at Thanksgiving, we will probably say '17, '18. I'm not sure. It's, of course, positive what is happening, yes. And I think, of course, the trend of the Atlantic crude, which had traditionally been going way of the United States is, of course, is now finding other homes. And that has positively influenced the ton-mile situation. And then, of course, that is what is spiking the market. It's interesting to see this going forward. I don't think it will be reversed. Of course, it will not. And there will be different rates. And then it's interesting to see which segments will pick up, as we see more interlink between Suezmaxes, Aframaxes picking up a little bit. But definitely, its rate is changing, further refinery capacity is coming on in Asia, in the Middle East, and I think that's a positive side to this. Of course, we have to remember, as we have put in one of the slides that the increase in ballast speeds with 3 knots, that means more than 10% you're adding to the fleet. So the market is tight, but we can also quickly rock the boat too much.
Urs M. Dür - Clarkson Capital Markets, Research Division: Great. And that's very helpful and appreciated. The other question, I guess, is just a bit more topical, and you may not have formed an opinion upon it. But with the change in the political regime, internationally with Iran, and made possible further supply of Iranian oil to the global markets, I think a lot remains to be seen. But I was wondering what your initial reactions to that market impact might be for, particularly, for the large ships, if anything at all.
Jens Martin Jensen: Probably more crude being shipped is positive for the market. So without specifically discussing about that, I think if more crude is being shipped, I think it will be positive for the market.
Operator: Our next question comes from Ceki Medina from Southpaw Asset Management.
Ceki Aluf Medina - Southpaw Asset Management, LP: Quick question. On the Suezmaxes, what was the original due date of the Suezmaxes? And to what quarter is the shipyard guiding towards these days?
Jens Martin Jensen: We are aiming, well, the last discussions we have had with the yard, we are looking at Q1 and Q2 next year, and that remains unchanged. But then, like I mentioned before, this situation is a little bit complex.
Ceki Aluf Medina - Southpaw Asset Management, LP: Sure. What was the original due date of these?
Jens Martin Jensen: It was around those dates. I think that's all I can say right now, I'm sorry for that.
Ceki Aluf Medina - Southpaw Asset Management, LP: Okay. You may say you can't answer, but let me ask this question as well. When do the obligations start on the part of the yard that they're late and they cannot deliver, and you either can cancel or they need to pay you money?
Jens Martin Jensen: Well, there are different shipbuilding contracts. Some kicks in 7 months after the contracted delivery dates, some is 9 months. I can't really specifically provide to you. But that is typically between 7 to 9 months after our delivery date.
Operator: Our next question comes from Justin Yagerman from Deutsche Bank.
Taylor Mulherin - Deutsche Bank AG, Research Division: This is Taylor Mulherin in for Justin. So this VLCC scrapping has come -- been asked in a few different ways, but let me try to come at it from a different way. Basically, can you provide any color around what sort of rates in the market need to be sustained where you think just as a market overall, not just you, owners are going to want to keep these vessels operating? Basically, I'm trying to understand what the breakeven level is specifically just for these older 15-years-plus vessels.
Jens Martin Jensen: I don't think that's a rule. That's different owners, different philosophy, different charter as customers, different philosophies. I don't think there's a universal reply to that, that there used to be a 15-year rule and there was a 25-year rule. I think it's very much market-related. In a low market, everybody seems to want a model ship in that highest market, which we have now. And everything that floats, it basically gets fixed. So there's no fixed rule I can say to that.
Taylor Mulherin - Deutsche Bank AG, Research Division: Sure. And then the other thing was I was just hoping that you could provide a little bit more color on what you meant in the press release about improving results sequentially in Q4. Is that net income, EBITDA, cash flow? What does that mean exactly?
Inger M. Klemp: We mentioned -- I know we said actually that in the press release that, that was operating results excluding gains and losses of onetime items.
Operator: Our next question comes from John Reardon of Crowell, Weedon.
John Reardon - Crowell, Weedon & Co.: It is kind of funny, 1.5 years ago, I think the conference call presentation took about 8 minutes and there were 2 questions and that was it. On this one, it seems like we have a much bigger audience. Jens, getting back to your Christmas party comment, what degree do you think our confidence amongst the ship owners is starting to work its way back into the system? Are people willing to turn down business because they have the confidence that they'll get a better rate?
Jens Martin Jensen: Of course. Fundamentally, any market is by supply and demand. But I think in shipping, confidence is -- plays a very big role. And I think, of course, from being building in mid-September to now, end of November, it is quite a different mood. I think that I said a lot in calls. You can't just create your own market by being positive. But then I think that is optimism. And as I said before, it's big market. I've seen the market was much more tight, and I know that sounds stupid when we have been making $16,000 per day for the first 9 months. But I personally think the market was much more tight. And this could have happened before, but it didn't. And then -- but that's positive atmosphere out there and that's, of course, good.
John Reardon - Crowell, Weedon & Co.: Okay. And as a follow-up question regarding the recent transaction where a fund swapped their bonds for stock, I know you don't want to discuss any future things, but can you give us some color as to how that came about? Did they approach you or did you approach them?
Inger M. Klemp: I think we rather would not like to comment on that.
Operator: Our next question comes from Michael Webber of Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: It's been a long call, but just one follow-up. Around the scrapping, I think the disconnect is coming from the fact that it seems like yourselves and other responsible owners like accelerating scrapping have kind of financed the recovery for less responsible owners. And then it's coming in, placing newbuild orders into kind of a fragile demand environment. So I guess, that is kind of what it is. Just in terms of looking forward into '14, does your cash sweep allow for any other ways to actually add any sort of market exposure? If the market does stay as kind of quietly firm as you think it will, Jens? Is there a way to come in and time charter assets, or is your existing asset base more or less what you're going to have to work with now and into end of '14 and '15?
Jens Martin Jensen: I think we have a good spot exposure. I know, which will be the 6 employment slide out. We basically have 5% TC coverage, so I think we have a spot exposure. So in that sense, we are well-placed, should that happen.
Michael Webber - Wells Fargo Securities, LLC, Research Division: And then just one more around Iraq, and I just kind of wanted to be -- hone in on your thought process there. By adding -- overall demand amount is not increasing and the incremental crude is coming online closer to China's largest export partner now in South America, would that not be a kind of neutral to slice negative for overall global ton mile demand?
Jens Martin Jensen: Well, I think traditionally from that country you mentioned, not Iraq, but this is, of course Iran that we are talking about. A lot of that...
Michael Webber - Wells Fargo Securities, LLC, Research Division: I apologize, Iran, yes.
Jens Martin Jensen: No, that crude was never just hitting in one direction. A lot of it was actually going to Europe, into the Mediterranean. On a ton mile, or let's say, extra crude in the market, I think it's positive.
Operator: We have no further questions at this time. [Operator Instructions] Okay, we have no further questions.
Jens Martin Jensen: I'd just like to say thank you for everybody for dialing in and listening to our presentation. And I would like to thank everybody in Frontline for their work and efforts during the third quarter. And happy Thanksgiving to our U.S. listeners. Thank you.
Operator: Ladies and gentlemen, that will conclude today's conference call. Thank you for your participation and you may now disconnect.